Operator: Good morning and welcome to the NexTier Oilfield Solutions First Quarter 2021 Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. a brief question-and-answer session will follow the formal presentation. For opening remarks and introductions, I'd like to turn the conference call over to Kevin McDonald, Chief Administrative Officer and General Counsel for NexTier. Sir, please go ahead.
Kevin McDonald:
Robert Drummond: Thank you, Kevin and thanks everyone for joining us this morning. We continue to make good progress with our strategic initiatives around converting our completion fleet to natural gas power in an effort to meet the growing demand in this important part of the market. Our first quarter ended on a strong note exiting March with our best monthly performance since April of 2020, after recovering from the unexpected and extremely abnormal winter conditions in February and transitioning to new customer activity early in the quarter. We were pleased to onboard five new customers earlier in the quarter and enjoyed steadily efficiency improvements as we exited March. The ongoing results will continue to improve with the additional deployment of newly converted gas powered equipment throughout the rest of 2021.
Kenneth Pucheu: Thanks, Robert. First quarter revenue totaled $228 million compared to $215 million in the fourth quarter. This marks a sequential increase of 6% as new fleet deployments and growth on our integrated logistics business, as well as in our WCI business was largely offset by the impacts of severe winter weather in February. Total first quarter adjusted EBITDA was $1 million compared to $8 million in the fourth quarter, mainly driven by the inclement weather event across our Southern region, as well as some choppiness in the schedule as we transitioned to several new customers in the quarter. The impact of the storm was more than double our preliminary estimate, with over two-thirds of our operations offline during the 10-day period. The storm impacted the heart of our operations across our Southern region, which includes the Permian, the Eagle Ford and the Haynesville. The activity decline resulting from the storm was further compounded by the additional costs associated with headcount and equipment we had in the system from ramping up our operations in response to greater demand building through Q1 and into Q2. We estimate that the total storm impact on adjusted EBITDA was approximately $10 million. In our Completion Services segment, first quarter revenue totaled $209 million compared to $200 million in the fourth quarter. Completion Service segment adjusted gross profit totaled $15 million compared to $24 million in the fourth quarter. During the first quarter, we deployed an average of 18 completions fleets. And when factoring in activity gaps, we operated the equivalent of 15 fully utilized fleets. On a fully utilized basis, our annualized adjusted gross profit per fleet, which includes frac and bundled wireline totaled $4 million compared to $6 million per fleet in the fourth quarter, where slightly higher utilization was more than offset by the severe winter weather impact. In our Well Construction and Intervention Services segment revenue totaled $19 million, up approximately 27% compared to $15 million in the fourth quarter. Adjusted gross profit totaled $2 million compared to $1 million in the fourth quarter. The improvement in results in both of our cement and coiled tubing business lines is a result of market share growth and focus basins, as well as returning customer activity.
Robert Drummond: Thanks, Kenny. We have provided routine updates on our strategic initiatives, as we've continued to build our new company since NexTier creation back in Q4 of 2019. I would now like to provide our investors with three key updates. First, we're scheduling a virtual investor event for September the 24th where we will provide a deep dive into the company and our technology. Please look for save the date invitation soon. Second, on April the 26th, we published our Spring 2021 Investor Presentation, which sets out more details on low cost, low carbon strategy that provides a compelling valuation on next year's earning potential. And third, we recently published NexTier's 2020 Corporate Responsibility Report providing a deeper look into the importance of responsible operations as a driver for our low cost, low carbon strategy. These reports are available on the Investor Relations page on our website. In closing, I would like to reiterate that we continue to reduce our operating costs. We are increasing digital capabilities and are beginning the process of recovering pricing conceded during the worst part of the COVID driven activity downturn. Pricing, particularly in the natural gas powered portion of the market will continue to leak upwards, as agreements are reset and supply and demand continues to tighten. We expect our lower operating costs and enhanced integrated completion platform will deliver very healthy profit fall-through as price recovers and our margins continue to improving over the next two years. Despite the weather related challenges that we experienced in Q1, we continue to see the activity ramp we anticipated into Q2 and our Q2 EBITDA exit annual run rate above $80 million is in line with our expectations at this early stage of the market recovery. In addition, we see Q3 EBITDA run rate improving considerably off of this established Q2 base. Based on current visibility, we believe that we will achieve at least $80 million of EBITDA in 2021 and exist the year with double-digit EBITDA margins. This reiterates our previous comments that 2021 is going to be a transition year for U.S. oil field services, and we believe that we are very well-positioned and we'll have strong momentum as we move into next year.  With that, we'd now like to open the lines for Q&A. Operator?
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session.  And our first question today comes from Chase Mulvehill from Bank of America. Please go ahead with your question.
Chase Mulvehill: Hey, good morning everybody. First …
Robert Drummond: Good morning, Chase.
Chase Mulvehill: Good morning, Robert. So, first thing I wanted to talk about was just kind of come back to the pricing conversation. You said you're seeing net pricing, and we've heard that from some of your competitors as well. Maybe if you could just take a moment and talk to, how much pricing actually fell during the downturn? How much you've been able to get back? And then, is this -- or the net pricing increases you seen just in kind of Tier 4 DGB fleets, or are you able to kind of push pricing on some of the conventional fleets too?
Robert Drummond: Thanks for the question, Chase. Much of the current -- as you point out pricing was set during the worst part of the COVID shutdowns. And we have been in -- with our customers for the long haul from the beginning and we believe in long-term partnerships. And I would say, in general, current bids that we're making in the market today are higher than they were during the COVID period, the worst part of the COVID period. The agreements that we set along the way, they have reopeners and we work with our customers along the way to recoup inflationary changes and do the most part of that negotiation during the reopener. You ask how much it dropped. I would say, it dropped a lot during the worst part of the middle of last year. And we've only began to recuperates very small amount and that's going -- we think give us the ability to change more, because there's two or three factors. First on the supply and demand side, I mean, it's steadily converging. Because one, demand is increasing and so is frac intensity and it's consuming equipment at fast pace, I think. And it's been very extremely minimal CapEx investment in any kind of growth to the market. And I think that those factors in addition to the fact that we are dealing with now more and more a bifurcated market, bifurcated around fuel source where natural gas power fleets that are representing somewhere in the neighborhood of 20% to 25%, 23% of the total deployed fleet, because the market in general is growing and that percentage is shrinking and it's relatively sold out. That dynamic for pricing improvement in that arena is much better. And the conventional portion of the market, I'd say that the dynamics there are impacted a lot by small independents that are yet to be sold out with conventional equipment. And that part of the market is much slower to move so far. But bottom line is, our customers went through the process to heal their balance sheet in 2021. And we say 2021 is a transitional year. So that's kind of what we're saying. They're in the process of allowing their balance sheet to heal. And we expect -- as we roll into 2022, that's when we'll see most of our opportunities to make a price move. And that's given us -- that in conjunction with the fact that we know what customers we got coming back of our traditional customer base gave us the confidence to be as forthcoming on our guide as we did. Hope I answered it .
Chase Mulvehill: Okay. Yeah. Absolutely. Absolutely. Appreciate the color. If we could talk a little bit about simo-frac, and I don't know how much simo-frac operations you're doing today. It's obviously a small part of the market. You need four plus wells per pad to really kind of take advantage of simo-frac. And so, I don't know if you could maybe just take a minute and talk about some of the trends that you're seeing out there with simo-frac, and the ability for next year to be able to handle those on the logistics side and help your customers advance kind of simo-frac penetration.
Robert Drummond: Well, look, I'm glad you asked that question, because simo-fracs is becoming a more and more important part of our customers' forward thinking. We've been involved with pretty dramatically from the beginning and in some basins, it's becoming a bigger and bigger piece -- pieces of our work, while in some basins, it's yet to be a factor really. So, I would say in the beginning, it was typically lower rates and trading pressures per well. And with that, our ability to have less wear and tear and our equipment was good. And it was a process that was interesting and more and more attractive to the customer because they're delivering more footage per frac on a routine basis. But lately the intensity of simo-frac is increasing and is consuming more and more horsepower. Obviously, we're adapting our pricing models and remuneration process to that. But the point that I want to make there is that when people say how many fleets are operating in the market without clarity around what -- how do you count the simo-frac fleet? It becomes less and less clear. And I would say is that this is one of the factors that we think is consuming a lot of the supply in the market where a simo-frac fleet, you've got to count it at what 1.25 to perhaps even up to two fleet. And inside that arena, execution matters dramatically. You do have less transition time, but you've got two wireline operations embedded in it. It's good for us. And the whole benefit of our model around integration is amplified when you have that kind of intense operation going on. So, my prediction is, as you're going to see this continue to increase, I think a little bit. And I keep pointed out it's only applicable in certain pad configurations typically, pads that are designed to accommodate it. And that process, I think some of our customers are working towards. So, we embrace it. We're good at it. I think we were on the early stages of it. It incorporates a pretty good bit of our work today. And it is intense work and we tend to excel in that kind of arena. Good question.
Chase Mulvehill: All right. Awesome. I'll turn it back over. Thanks, Robert.
Robert Drummond: Thanks.
Operator: And our next question comes from Chris Voie from Wells Fargo. Please go ahead with your question.
Christopher Voie: Thanks. Good morning. Thought I'd maybe ask you about your tiered offering for kind of ESG type fleets. Curious what kind of appetite you're seeing from customers? Is there a lot of difference between appetite for ESG Pro versus ESG Platinum? Just what -- how is it evolving in terms of what people want and how much they care about higher natural gas -- sorry -- diesel displacement versus lower?
Robert Drummond: Chris, good question. Look, it's evolving. I think there are a number of factors involved there. Obviously, the benefits of burning gas -- the arbitrage between diesel and natural gas prices is a driver. But it's also around our customers reducing their carbon footprint. And there's a lot of information in the market today about claims, about what is the best emission profile equipment. And I think the entire sector is on a learning curve a little bit, and we've got a strong opinion. We spend a lot of time studying it. And I've noticed that our customers are getting more and more educated and more and more smart about that process. So, I would just say is that we have a good mix between ESG Pro and ESG Platinum. The key thing to think about though, is that, there's a premium associated with both of those packages over what you would pay, a customer would pay for diesel conventional fleet. So, that's the reason we had multiple entry points for our customers. How we blend the equipment and how we run it to deliver different levels of diesel displacement, so that they could enter where they wanted to. But I think I would predict that over time as the market becomes more material about understanding the cost benefits of carbon footprint reduction, that we'll see more and more of a migration toward platinum and the requirement for Tier 4 dual fuel equipment being one of the best and most cost effective answers. So, that's the way I would describe that dynamic and I -- and we're very encouraged about where it's going, and you're going to see us continue to deploy dual fuel fleet throughout 2021. And we got -- we've been calling out the investment that we're making, and we've been fortunate enough to be able to offset a lot of that investment with a sale of our servicing business that we completed right at the beginning of COVID.
Christopher Voie: Okay. That’s helpful. Sure. And maybe the second one, just about growth in active fleet. Curious if you can describe, how much growth you expect from here? Obviously, throughput is going to be going up, strong revenue growth in the second quarter, just more work per fleet. But what about fleet additions as you go through the back half of the year? And maybe some commentary around which basins you expect to grow the most?
Robert Drummond: Yeah. So, it is basin question somewhat too. But I want to reiterate it. We see 2021 enfolding kind of like we expected and it's going to be a transition year. And what we said in our prepared remarks was that, we've been fortunate to onboard new customers during the beginning of this year. That are -- in many ways, we're placing some of the traditional customers who ramped down activity aggressively in 2020, but all along planning a stage recovery during 2021. So, when you ask that question, from our perspective, we got visibility on continued additions into Q2 and Q3. And it'll be on -- in a neighborhood of a couple per quarter kind of thing, but mostly with our new Tier 4 ESG Platinum type offerings. And that's the reason we're guiding so strong for Q2 and Q3 going forward. At the same time, the dynamics around the market, in general, have continued to improve. And our sales and marketing efforts are continuously improving, as we've added new talent into that arena. So, we can get our message out to the entire customer base. But that's what we see 2021. And for us, that evolution is -- we turn -- that it gives us the ability to turn cash flow positive in the 2022. And ultimately, as we get fully deployed with our ESG strategy and power solutions and everything that we got going to be a leader in free cash flow generation when we get into 2023.
Christopher Voie: Okay. And is most of that growth can be in the Permian?
Robert Drummond: So, back your point -- that's a good question. You asked me about the basins. Yes. A dramatic amount of it is. Our footprint in the Appalachian basins has been a core of our company for a long time. It's a crowded space more so even than the Permian, I think supply and demand. And we're working through that. We've seen some competitors pull out of the region. And we have a long history with a good -- lot of good customers up there and determined a lot by what gas price outlook is and opinions vary a little bit, but I think we're very proud of that position we have there. But in the visible term, most of that growth is in Texas. Put it that way.
Christopher Voie: Got it. Thank you.
Operator: Our next question comes from Ian MacPherson from Simmons. Please go ahead with your question.
Ian MacPherson: Thanks. Good morning, Robert. When you talk about your turnover in the customer book and picking up five new customers in Q1, does that make it easier for next year to prosecute your efforts and expanding your work scope on the wellsite and selling more integration and all of it?  And I wonder if you could speak to how also the change in the customer book is influencing the rollover in your pricing? If we've basically seen all the effects of repricing your fleet kind of purged through, and the average portfolio pricing should be melting up along with the spot market from here forward.
Robert Drummond: Good question. And look, I would say our value proposition is very much driven by the integration aspect. You often hear us call out the efficiency delta between our completion group being frac and wireline together versus operating independently. And this is statistically ever since the beginning of Keane. And it's -- by working together, it's adding 25% on average or above frac efficiency, by working the two together. So, when you talk about pricing and value proposition, to me, you have to look at it from an integrated perspective to get the full -- total cost of operation from the operators. So, as we bring new customers into our portfolio, they're looking at our historical customer base and the results there to make their decisions about making that move with us. And when we -- and we're trying to drive the company, we realized that the profitability levels are lack thereof, currently are unsustainable, and that we have to fix it. Pricing is no question, a very important point as we call it back from the concessions that we made during one of the worst downturns ever. But during that process, we also lowered our cost to operate substantially. And the tools for doing that with digital has changed. So, we were locking the lower costs. We don't have to claw back as much price as we yielded to exceed the same levels of profitability. And then when you add on the other profitability levers that we talk about, and that is integrating our next-gen gas powered solutions, like Tier 4 dual fuel, or perhaps even eFrac, when we move further down the road with the integration of last-mile logistics and our coming fueling power solutions, this is when we can start to take advantage of scale more. And then also we put two companies together to be able to address a lot bigger portfolio opportunities than we have currently. If you remember back before COVID struck, we were like 31 fleets and growing at that particular time. So, as we add fleets back into the mix, our scale improves and our ability to generate more profitability per fleet will be driven a lot by that as well. So, I hope that addressed most of the questions.
Ian MacPherson: Yeah. Absolutely. Yeah. Thanks, Robert. I wanted to ask a quick follow-up for you or for Kenny. On cash flow for this year, you said that you're really thinking about free cash flow coming into focus for next year. Near-term, it looks like your CapEx is going to be heavier in Q2 than it was in Q1. So probably another negative free cash flow quarter. How should we think about the CapEx after the special power solutions CapEx the first half? Any early read on second half CapEx and like a ballpark for free cash flow ranges for the full year.
Operator: Ladies and gentlemen, it appears we may be having some technical difficulties. Please remain patient while we try to reconnect the speaker lines. Thank you. And the speaker line has been reconnected.
Kenneth Pucheu: Can you hear us?
Ian MacPherson: Yeah.
Kenneth Pucheu: Sorry about that, Ian.
Ian MacPherson: Hey, Kenny.
Kenneth Pucheu: Look, I was just -- yeah, so look, I was just going through the components of our H1 and our full year cash flow. And like I was saying, in H2, our investment cadence will increase somewhat. We have our returning customer activity that has high demand on gas powered fleet. So, we're going to continue to invest in Tier 4 DGB. So, if you do the math, in 2021, we will have free cash flow use, but 2021 will be an investment year for us. We've been very diligent during a downturn and protecting our cash balance. At the end of Q1, we actually have more cash than what we started with pre-COVID, right? So, we've always said that we're going to use our balance sheet to play offense and defense. And with the increase in demand for natural gas powered equipment, we're going to be investing in that in 2021, as well as our power solutions business. But as Robert mentioned, as we go into 2022, pricing dynamics change a bit. We continue with our leading position on our Tier 4 dual fuel. We believe that we can generate meaningful cash flow -- free cash flow in 2022, and especially in 2023.
Ian MacPherson: Okay. Got it. So, the shorthand CapEx could actually be higher in the second half, the first half, but then as the power solutions standing that up completes, then we should look probably more towards maintenance CapEx levels into 2022 with rising EBITDA.
Kenneth Pucheu: That's a good way to put it in.
Ian MacPherson: Okay. Super. Thank you.
Robert Drummond: Thanks, Ian.
Operator: And our next question comes from Stephen Gengaro from Stifel. Please go ahead with your question.
Stephen Gengaro: Thanks. Good morning, gentlemen.
Robert Drummond: Good morning.
Robert Drummond: Two things for me. When you think about, and I know I'm not asking for guidance for next few years or anything. But when you think about the gross profit per fleet numbers, getting back into the mid teens, $15 million, $16 million range. What will it take to get there? I mean, like, I'm just trying to get back to -- I think it was Chase's question earlier about pricing and utilization, but what would be sort of a roadmap to get back to that level of profitability?
Kenneth Pucheu: Yeah. Look, as we mentioned, we have a line of sight on EBITDA margins to progress through the year and exiting by the end of the year at 10%. On your specific question, if you look at our gross profit per fleet progression, it's done -- it's going to double in Q2 versus Q1. Obviously, we had some incremental weather impact in Q1 that we called out, but it's going to double. And it'll be higher than it was in Q4, 2020. And then if you look further into Q3, we see that we'll be able to deliver double-digit gross profit per fleet. And from there and beyond, that we'll be double-digit. So, we're going to keep our SG&A flat. So, any incremental revenue pricing utilization is going to fall through pretty well from an EBITDA standpoint. So, just to kind of reiterate what Robert talked about earlier, all the different levers that we have, we're adding utilization, which will help with our leverage. We're -- we have our integration around wireline. We have our integration around power solutions and our integrated logistics. And then in addition to that, we have a large and growing Tier 4 DGB fleet that we believe is going to give us better pricing dynamics as we go through the year and into 2022 and beyond.  So, I think all those things combined -- I'm not ready -- really ready to commit on timing of that kind of full cycle or mid cycle GP or EBITDA per fleet. But we are seeing improvement based on the factors that I just described. And we believe that even more acceleration on EBITDA trajectory as we go into 2022 and 2023.
Stephen Gengaro: No. Great. Thank you. That's very good color. One other follow-up. I know you have this fleet readiness program in place. And when I think about having 20 fleets deployed in the second quarter and looking at kind of your total asset base right now. At what level of fleets deployed do you start to see a material escalation in activation costs? Is it 25? Is it higher than that? I'm just trying to sort of think about where you'd need to put more capital to work to reactivate assets.
Robert Drummond: So, we talk about spending $1 million a month on -- keeping it ready. And you look at the total fleets that we have at our disposal and you take into account the consumption of horsepower around simo-frac, we can deploy double-digit more fleets at the same kind of cost structure we've been deploying them since the bottom of the downturn. When you get past, say, 30 fleet, then we may have a little bit more. But anything that had substantial costs to redeploy, we've cut up. We called out 600,000 horsepower since the merger. And we did that. We probably -- we would not have done that much if we didn't think U.S. land was going to be different going forward than it was in the past. And then we're talking -- our fleet count estimates go into the mid-200s as we get into next year. And we think that what we have now we can deploy very cost effectively. And that's the reason we believe we've got a lot of pin-up learning potential.
Stephen Gengaro: Yeah. No. Thank you for the color, gentlemen.
Robert Drummond: Thank you, sir.
Kenneth Pucheu: Thank you.
Operator: And our next question comes from Waqar Syed from ATB Capital Markets. Please go ahead with your question.
Waqar Syed: Thank you for taking my question. First of all, could you talk -- maybe talk about your international fleets? How many are currently active? What's embedded in your outlook for Q2, and then for the remainder of the year?
Robert Drummond: Yes. Thank you for asking that. Our partnership with NESR has served us well. It been a case where bringing our U.S. capabilities and efficiencies into the unconventional arena over there, where they have significant volume, has made a big difference. We have currently two fleets operating and it's been that way for a number of quarters. And as we look into the rest of this year, we see the potential to begin perhaps to deploy another one around business development opportunities as other -- other countries inside in MENA region, look to try to do the same thing. But it's also the opportunity for us in the short term from material impact has to be linked to places where they have the volume to -- for us to address on an efficient scale i.e. they got a lot of inventory at wells and that's a developing arena in the Middle East. But I would say that we're doing -- operationally, we're very happy. We're very happy with NESR as a partner and business development largely driven by NESR's capabilities. And I would -- not really a big partner of anybody else when it comes to that. They're very good. And we get a chance to look at a lot of things that way. So, I would just say for the rest of this year, we kind of see it flat.
Waqar Syed: Okay. Just one kind of broader, kind of philosophical type of question is, if you can help us understand how this cycle may be different from the last cycle. Historically, what has happened in industry, pumping industry is that, off the bottom, as activity picks up, slowly profit margins grow. And only when EBITDA margins -- or EBITDA gets into the $10 million to $15 million per crew, does the industry start to add capacity? The customer base and all the salaries  and then upcycle starts spending up to -- or 120% of the free cash flow. When I look at this cycle, your customer base, right now, has -- almost all said that they're going to be admittance capital for some period of time. But the industry, pumping industry itself has started to make investments much earlier in the profitability curve, that even when -- margins are still in that low to mid single digit range. And so, I'm struggling to understand why is this optimism about investing so much into capacity or upgrading while customers are still not paid -- still a competitive market, still a fragmented market. And moreover, fees continue to become more and more efficient. So you are artificially to some extent adding supply into the market. So, help me understand why this kind of industry is starting to invest so much earlier in the cycle.
Robert Drummond: Look -- that's a good question. And I would answer it like this. I think everybody in our sector kind of understands that the activity profile, in general, is range bound a bit more than it was in the past related to your maintenance investment portfolio and operators stay in closer to their cash flow and investment profile. The reason we take it the strategy that we're taking and investing in converting existing horsepower capacity to natural gas power is, because we moved from one part of a bifurcated market to another. And the upper end of that bifurcated market is essentially sold out. It is somewhat still pricing lead linked to the total market, but there has not been additional capacity added on a scale of any sort. And there's been  placed and a fleet, or two, I think this is my view of Tier 4 kind of equipment added by other competitors in the marketplace. But, in general, I think our part of the market has been very disciplined about adding additional horsepower, while simultaneously consuming more of what we already have through things like simo-frac and increased frac intensity. So, we are -- supply and demand is converging, I think pretty rapidly. And I think you can't look at the market the way we probably used to as one neolithic, monolithic supply base when you have this bifurcation aspect. So, that's the way -- it's a little bit complicated perhaps, but I would just say is that the investment from next year is inside that upper part of the market that has grown demand structure.
Waqar Syed: Fair enough. My hope was that maybe -- industry would wait to upgrade and let them -- let the customers pay for it rather than proactively doing that. And the worry is that, it may become -- the dual fuel market may become as commoditized as the diesel market was at some point.
Robert Drummond: Well, one thing I would say is that we feel like our balance sheet gives us some differentiation on being able to do so at any kind of scale and a competitive advantage being had there in that. Company our size, I believe has as many dual fuel. We've got as many gas powered fleets deployed as anybody in the market. And it's going to take a number of years. I think anybody else get a scale to be able to do that. So, that's us taking care of what we can control, I believe. And both from the attrition standpoint on the conventional side and the movement into a different Tier, on the evolutionary side. But I understand your point. I hope I made some DNA  in that because that's the reason I think that it's not one unified move. This is the move -- the ability to move price -- even move price inside that bifurcated market differently.
Waqar Syed: Yeah. Thank you, sir. Thank you very much for you guys.
Robert Drummond: Thank you.
Operator:  And our next question comes from John Daniel from Daniel Energy Partners. Please go ahead with your question.
John Daniel: Hi, guys. Thanks for squeezing me in. The first one guys is, on the onboarding of the five new clients. Can you just walk us through maybe what drove their decision? Is it the integrated solution that Tier 4 engines, performance issues with peers? Just any color that you can provide, would to be helpful?
Robert Drummond: John, I think that we are all competing in the market every day. And there's a lot - oftentimes there's a tender process. Price is a big factor and so is efficiency. And more importantly, probably how you put -- present yourself in the market price was, is very much linked to what kind of efficiencies you can project into your own models. Our integrated offering is a factor.  The percentage of our fleet that are -- we're supplying our own sand and logistics is as high as it's ever been and only increase. And I think that's a factor, especially during parts of COVID, where the infrastructure was challenged. And we were differentiated like better positions, I think, largely driven by our abilities inside NexHub to eliminate the margin and give drivers for an example, ability to make more money we're operating with us as opposed to somebody else where they have to more wait time and less total travel -- total hauls per day, for example. So, it's -- as you would expect, the whole shooting action. Obviously, for us to hold on to those customers, we had to deliver what we said we were going to do. And that's what we -- that's what we think. The readiness program also had differentiated our ability to hit the ground running pretty good with our customers. Not error free, but much better, I think, than the average.
John Daniel: All right. Fair enough. I got a housekeeping question, sort of a follow on to Chase's. But with the rise in simo-frac activity, if you've got a crew out doing a simo-frac, do you count that as one crew, or do you count that as two for disclosure purposes?
Robert Drummond: John, it’s a good point. And we're trying to decide what to do.
John Daniel: Okay.
Robert Drummond: It's been evolutionary -- before I would -- in the beginning, I would have said 1.25 was the number ought to be -- historically we've been count on as well. And I would say more likely -- more like a one and a half kind of on average. So, I would just say we all look at that to determine, but certainly I think the counts -- like you not talk about being around 200, most of them is one.
John Daniel: That's what I do. Okay. Fair enough. All right. Now, I'm going to ask you a question. As you might think it's the dumbest question today, because I know you just gave guidance, it's going up and that's good. The pricing is going up. But are the volume of inquiries for new work as robust as they were two to three months ago? Can you just characterize the inbound calls from customers for work?
Robert Drummond: I'd put it this way. As I reiterate it -- I reiterated a little bit -- what I already said, or perspective around the customers that we've very familiar with, we already kind of knew what they were -- what their plans were going to be. And they were going to be layered into the outlet -- the future deployments in 2021. But the bid level -- and we get to look at it, I think, nearly everything. And I would say that it's on the slight uptick, there steady uptake. But I would also say is that sometimes that is the customer fishing, I think about what price looks like, what's going on in price and haven't yet exactly decided when they might deploy a fleet. So, I think that's -- dynamic is difficult to nail down, but we excited, frankly, about the volume of opportunity. And obviously, we run a pipeline and we try to handicap that and that pipeline is very healthy.
John Daniel: Okay. Great. Hey, I appreciate all the time and color you guys gave today.
Robert Drummond: Hey, thanks, John. Thank you.
Robert Drummond: Operator, I think that's the last question we can take. Before we close, I just wanted to say one thing was that to -- up to the analysts, I appreciate there's been a lot of turnover in the group and you guys got a large volume of activity to cover. We appreciate your interest in our company. And I really want to thank all the NexTier employees for their dedication to our customers and our company and the collective safety that we demonstrated throughout all the turmoil that's been happening, everything from the Texas freeze to COVID before that. So, thanks for participating in today's call.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending. You may now disconnect your lines.